Operator: Good day, ladies and gentlemen, and welcome to the ACADIA Pharmaceuticals First Quarter 2020 Financial Results Conference Call. My name is Sara, and I will be your coordinator for today. At this time all participants are in a listen-only mode. We'll be facilitating a question-and-answer towards the end of today's call. [Operator Instructions] I would now like to turn the presentation over to Mark Johnson, Vice President of Investor Relations at ACADIA. Please proceed.
Mark Johnson: Thank you, Sara. Good afternoon and thank you for joining us on today’s call to discuss ACADIA’s first quarter 2020 financial results. Joining me on the call today from ACADIA are Steve Davis, our Chief Executive Officer, who will provide an overview of our Q1 2020 financial performance and provide a review of our business operations and how we're addressing the ongoing COVID-19 pandemic. Also joining us today is Michael Yang, our Chief Commercial Officer, who will provide updates on our commercial initiatives; and Dr. Serge Stankovic, our President, who will discuss our pipeline progress; our Chief Financial Officer, Elena Ridloff will then discuss our financial results in more detail, before turning it back to Steve for final remarks and opening up the call up for your questions. I would also like to point out that we are using supplement slides, which are available on the Events & Presentations section of our website. Before we proceed, I would first like to remind you that during our call today, we’ll be making a number of forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including goals, expectations, plans, prospects, growth potential, timing of events, or future results, are based on current information, assumptions, and expectations that are inherently subject to change, and involve a number of risks and uncertainties that may cause actual results to differ materially. These factors and other risks associated with our business can be found in our filings made with the SEC. You are cautioned not to place undue reliance on these forward-looking statements, which are made only as of today’s date. I’ll now turn the call over to Steve.
Steve Davis: Thank you, Mark. Good afternoon, everyone and thank you for joining us today. Please turn to Slide 5. Before we review our progress for the quarter, I'd like to take a moment and address the extraordinary circumstances we're all navigating with the COVID-19 pandemic. First, I hope all of you and your families are healthy and faring well. Second, I want to extend our gratitude to the healthcare workers on the front lines whose selfless care is helping so many who've been impacted by the virus. And third, I want to thank our employees. I'm grateful for their continued focus on the patients', caregivers and the families we serve. Please turn to Slide 6. As the COVID-19 pandemic has evolved globally, ACADIA has made it a priority to support patients who rely on our current and developing medicines, protect the health and safety of our employees and do our parts to minimize the spread of the virus. As it relates to our business specifically, we view the challenges caused by the pandemic to be temporary. It does not change the underlying nature of our medicines. Unfortunately, hallucinations and delusions associated with Parkinson's disease or dementia do not stop. Patients with major depression with the negative symptoms of schizophrenia still suffer. And patients with Rett syndrome and their families still need an effective treatment option. We remain focused on our mission because patients are waiting, and we continue to move forward to deliver on a multi-year cadence of potential product approvals over the next few years. During this time, we've taken numerous proactive steps to adapt our business. All of our office and field based employees continued to work from home to reduce the risk of the virus. We've embraced new ways of working. Let me describe just a few quick examples. Although we are not physically in doctors' offices, we quickly moved our promotional and educational materials to portals accessible by healthcare professionals, enabling them and our field employees to be looking at the same document at the same time when we engage virtually. Recognizing the significant shift to telemedicine, we've rapidly moved to support key continuing medical education programs. On a related point, we also quickly expanded the ability for physicians to prescribe NUPLAZID using our online tools, an important advantage when they're treating patients virtually. Regarding our supply chain, we continue to maintain an uninterrupted supply of medicine and have more than sufficient inventory. On an important related note, I'd like to remind you that patients never have to travel to an outside pharmacy to fill NUPLAZID prescription. It is always delivered by us directly to patient homes or directly to long-term care pharmacies and facilities. With respect to our clinical trials, we've made it a priority to protect the well-being of study participants and research partners. Like many others in our industry, we temporarily pause new patient enrollment in our studies, and have been working with our clinical trial sites and study investigators to focus our efforts on current participants. We're also working with our sites and CNS partners to begin enrolling new patients as soon as possible. We entered 2020 in a position of strength and the fundamentals of the company remain strong. As we turn to Slide 7, I'd like to highlight the progress across our business during the quarter. We expect 2020 to be a transformational year for ACADIA and are focused on our three strategic pillars; drive growth of NUPLAZID, deliver on the DRP opportunity and develop new treatment options for patients. This year, we're investing in the continued growth of PDP, as well as the potential approval and launch of DRP, transforming the new class of opportunity in the very near term. We're also advancing our MDD, Rett syndrome and negative symptoms of schizophrenia development programs. If successful, we will have three additional approvals over the next three years that will drive our mid and long-term growth. Let's take a closer look at NUPLAZID performance in Q1 as we turn to Slide 8. For the first quarter of 2020, NUPLAZID achieved $90.1 million in net sales, a 43% year-over-year increase driven by strong commercial execution. While we have quickly pivoted to what we believe is best in class Virtual Education and Engagement, there are some limitations in the current environment that are having a short-term impact on the rate of new patient growth. As a result, we are revising our net sales guidance to $420 million to $450 million, representing a 28% growth year-over-year at the midpoint of the range. Importantly, we see continued growth in NUPLAZID this year, and we remain confident in driving the long-term market opportunity and PDP. Michael will provide additional insight into our commercial performance during his remarks. As we turn to Slide 9, I'm very pleased to hear that we remain on track to deliver on the DRP opportunity, a potential second indication for pimavanserin. During the quarter, we met with the FDA and plan to submit our supplemental NDA this summer. With breakthrough therapy designation, we expect a priority review and a potential approval around year-end. You'll hear more from both Michael and Serge on our progress with DRP. Please turn to Slide 10. We continue to make important investments in our clinical portfolio while navigating the near term impact of the pandemic. In our jump to major depressive disorder program we're now prepared to reinitiate new patient enrollment at certain sites. As Serge will discuss, given that both of these identical studies are just over 50% enrolled, we're also pursuing a strategy to not enroll any additional patients, and instead, combine these studies into one study and a positive, submit an SDA on the basis of this work, and our previous positive pivotal CLARITY-1 study. Serge will discuss further details to this approach. In addition, we plan to initiate our ADVANCE-2 study for the negative symptoms of schizophrenia in the second half of this year. In our Rett syndrome program, where we are pursuing the first drug approval for the serious and rare neurological disorder, the FDA granted rare pediatric disease designation to trofinetide. We plan to reinitiate enrollment in the LAVENDER Rett syndrome study as soon as possible. Today we also announced the new licensing and collaboration agreement with Vanderbilt University. Through this collaboration, we've added a new muscarinic receptor program to our portfolio. What exactly did we license? The M1 PAM program is a portfolio of early stage clinical candidates that are complementary to our development pipeline focused on new potential therapies for CNS disorders. The lead compound is in Phase I testing with several additional preclinical compounds. Finally, we continue to focus and invest in our future additional business development opportunities that shape our long-term growth strategy. With that, I'll now turn it over to Michael to discuss our Commercial performance and highlights.
Michael Yang: Thank you, Steve. Today, I'd like to review our first quarter performance, which highlights the strength of the fundamentals of our business and gives us confidence in our long-term expectations for NUPLAZID in Parkinson's disease psychosis. The strong base of PDP patients continuing on NUPLAZID and our focus on growth initiatives will enable us to deliver double digit volume growth in 2020. We're also on track and making good progress with our DRP launch plans. Please turn to Slide 12. NUPLAZID continues to transform the standard of care for patients with PDP. First, we have a strong base of patients continuing on NUPLAZID. In the first quarter, we delivered net sales of $90.1 million driven by year-over-year volume growth of 32%. Our commitment to programs to support patient access and continued leverage of the 34 milligram capsule help to sustain consistently high monthly bottle fulfillment rates for patients established on therapy. Second, we continue to deliver new to brand patients consistent with previous quarters in both the specialty pharmacy and specialty distribution channels, reflecting positive customer engagement to our commitment to establish NUPLAZID as standard of care for patients with PDP. As Steve mentioned earlier, we have quickly pivoted to what we believe is best in class Virtual Education and Engagement. However, at the end of the quarter and into April, we have seen reduced patient visits and delayed diagnosis. According to a recent survey from ACADIA in person physician visits remained down significantly when compared to the pre-COVID time period. While neurologists have prior experience with telemedicine and are leveraging this technology to manage patients at a distance, overall visits remain significantly lower than pre-pandemic levels. Importantly, even during this time, NUPLAZID new patient starts have outpaced the overall market new to brand trends. As such, our revised 2020 revenue forecast reflects 28% year-over-year revenue growth at the midpoint of the range. Let's review our growth initiatives further on Slide 13. Parkinson's disease, hallucinations and delusions are serious neuropsychiatric symptoms that could be very disruptive to the family and patients. As healthcare providers adjust to seeing patients with telemedicine during the recent crisis, PDP remains an important medical condition that needs to be addressed. To support new patient identification, we've done a number of things to optimize our approach to sales, marketing and medical education in a virtual environment. For example, leveraging technology to conduct peer-to-peer educational programs and product theatres, lunched our online treatment form that is optimized for the telemedicine paradigm. This is important because patients can now be diagnosed and prescribed NUPLAZID remotely receive samples in the mail. And upon reimbursement and verification, monthly prescriptions will be shipped to the patient's home. All of this, keeping this vulnerable patient population safely sheltering at home. And finally, we continue to use digital campaigns to further stimulate patient and caregiver conversations with their physicians about PD psychosis and NUPLAZID. Our commercial plan remains committed to increasing PDP awareness and establishing a positive standard of care. Importantly, we continue to educate on the inclusion of NUPLAZID in the movement disorders society guidelines, new long-term patient safety data and data on the positive impact on NUPLAZID therapy on the caregiver burden scale. Now, let's turn to our second potential indication for pimavanserin, dementia related psychosis on Slide 14. We are excited about the opportunity to expand our label with another first and only FDA approved indication. Dementia related psychosis is a significant unmet need. And bringing pimavanserin forward as a treatment option could make a meaningful difference for patients and caregivers. We continue to advance our readiness plans focused on market research, disease awareness, and education with the medical community on the high burden of disease. Most of these efforts have temporarily pivoted to virtual programs for obvious reasons. A few examples include advisory boards, and payer engagements. In addition, we are seeing strong HCP interest in learning more about DRP. For example, our disease education website, MoreThanCognition.com has had over 20,000 visitors since launch in late 2019. And we continue to see growth in site utilization month-over-month. Since NUPLAZIDs launch in 2016, we've built significant awareness for the need to appropriately treat PD psychosis. The DRP opportunity is approximately 10 times larger than PDP. And we have previously outlined our field expansion expectations, but it should be recognized that we already have a significant base of engaged and experienced personnel to leverage. Much of the additional preparation for the DRP launch is scheduled to occur in the second half of 2020. Mostly the hiring and training of our field based teams. We made good progress in laying the groundwork and are well positioned to execute on our launch plans. With that, I'd like to turn it over to Serge, to discuss our R&D progress beginning on Slide 15.
Serge Stankovic: Thank you, Michael and good afternoon. I would like to take this opportunity to share with you the important R&D updates that have occurred since we last spoke in February. As Steve mentioned, with the ongoing pandemic, we have made it a priority to protect the well-being of our study participants and research partners, as well as to minimize disruption to our clinical operation. We have been working with our clinical trial sites and study investigators on their plans to continue appropriate assessment and safety monitoring of ongoing study participants, as well as to ensure adequate conditions for future enrollment of new patients in our late stage clinical trials. I'm pleased to report that our teams have been able to continue to collect data by implementing remote monitoring and at home assessment. However, considering the rapid pandemic spread over the past couple of months, we have temporarily pause new patient enrollment in our clinical studies. To reinitiate enrollment, we will use a phased approach, which will be both study and site specific and reflect local health authorities and regulatory guidance. Let's now turn to Slide 16 for an update on the DRP regulatory path. As planned, we successfully completed a pre-sNDA meeting with the FDA and confirm that the pivotal data from our harmony study together with a confirmatory and supportive results from our Alzheimer disease psychosis Phase II study and our Parkinson disease psychosis Phase III study will also support the submission of an sNDA for pimavanserin in dementia related psychosis. In addition, we discuss the overall safety database and analysis plan. Our sNDA preparation remains firmly on track. As previously announced, we plan to submit the sNDA this summer. We expect the priority review with a potential approval for DRP around year-end. Turning to our major depressive disorder or MDD program on Slide 17, both our ongoing CLARITY-2 and CLARITY-3 Phase III studies have identical study designs with the same endpoints and analysis plan. Please turn to slide 18. Today, both our CLARITY Phase III studies have enrolled slightly over 50% of the total patients planned. The pandemic has created many uncertainties in regards to maintaining appropriate experimental conditions for the execution of clinical trials, and the timing of results. As Steve mentioned earlier, we are now pursuing a strategy to move our depression program forward to over the timely and successful completion. Given our progress with enrollment, and the identical design of the two studies, we're pursuing a strategy to not enroll any additional patients in the CLARITY-2 and CLARITY-3 and instead to combine these two studies into one study with a pre-specified statistical analysis plan. As a result, potential top line results of the combined study would be available in the third quarter of this year. If positive, these results with our previously announced positive CLARITY-1 study could serve as the basis of a supplemental NDA submission. If negative, we would initiate another pivotal Phase III MDD study in the second half of this year. We plan to discuss our proposal with the FDA in a meeting already scheduled for the second quarter. We look forward to updating you further on our plans for the MDD program. Moving to the negative symptoms of schizophrenia on Slide 19, we're continuing to prepare for the second pivotal study ADCVANCE-2, which will utilize a fixed dose of 34 milligram and will be conducted exclusively in sites outside of the United States. We plan to initiate this study in the second half of this year. Rett Syndrome is a rare and debilitating disorder with the unmet need highlighted here on Slide 20. As I mentioned earlier, while we are continuing monitoring and assessment of ongoing study participants, we are currently initiating plans for gradual return to recruitment and enrollment in our Phase III LAVENDER study. At this time, we continue to anticipate the ability to complete and announce top line results next year. Please turn to slide 21 to review our clinical stage pipeline, which now includes the M1 PAM program. We licensed Vanderbilt's M1 PAM program, which is comprised of a highly selective Positive Allosteric Modulator's or PAMs of the M1 subtype of muscarinic acetylcholine receptor. This is an exciting new program for our pipeline, which may represent a novel approach for improving cognitive function and other neuropsychiatric symptoms in patients suffering from CNS disorders. The study of muscarinic modulators has been an area of high interest as there is an evidence of their ability to address cognitive and neuropsychiatric symptoms associated with CNS disease and schizophrenia. Recent advances in the potential efficacy of muscarinic agonists have only increased the interest in the industry. The M1 PAM approach may achieve the efficacy recently observed with muscarinic agonist while minimizing the potential side effects. Consistent with our strategy, we remain focused on developing innovative new treatments, and that is reflected in our growing and advancing pipeline, both early and late stage. With that, I will now turn the call over to Elena to discuss our financial performance.
Elena Ridloff: Thank you, Serge. Today I'll discuss our first quarter 2020 results and our updated 2020 financial outlook. Please turn to Slide 23. In the first quarter of 2020, we recorded $90.1 million in net sales, an increase of approximately 43% compared to $63 million of net sales in Q1 of 2019. This was driven by approximately 32% volume growth year-over-year. The gross-to-net adjustment for Q1 2020 was 25.4%. As a reminder, gross-to-net is typically highest in the first quarter due to the annual reset of the donut hole for Medicare Part D patients. Recent inventory channel at the end of the first quarter were consistent with your end 2019. Moving down to P&L, GAAP R&D expenses increased to $72.6 million in Q1 2020 from $52.9 million in Q1 2019. The increase is primarily due to an upfront payment of $10 million to Vanderbilt University for the M1 PAM program and increased development costs associated with trofinetide. GAAP SG&A expenses increased to $102 million for the first quarter from $93.1 million in the first quarter of last year. This is largely due to increased personnel and medical affairs cost. Non-cash stock based compensation expense during the quarter was $22.3 million, compared to $19.9 million for the same period in 2019. Cash used in operations during the quarter was $49 million, compared to 64.2 million for Q1 2019. Our cash balance at the end of the quarter was $651.4 million. Please turn to slide 24. For the full year 2020, we're revising our NUPLAZID revenue guidance to $420 million to $450 million from a previous range of $440 million to $470 million to incorporate the short-term impact of COVID-19. The revised revenue range reflects the year-over-year revenue growth of approximately 20% at the midpoint of the range. This guidance incorporates a range of scenarios which reflect our currently anticipated impact of COVID-19 on our business. Namely at the low end, we have assumed a delayed return of face to face physician visits, resulting in recent new patient initiation trends persisting through the remainder of the year. At the upper end, we've assumed that we start to see an increase in face to face physician visits, and an increased rate of new patient growth starting in the third quarter. We continue to anticipate overall gross-to-net discount in 2020 to be in the range of 17% to 18%. We forecast gross-to-net decreasing sequentially from 25.4% in the first quarter to approximately 13% to 15% in the second quarter. On the expense side for 2020, we expect GAAP R&D to be toward the low end of our previous range of $270 million to $285 million. We expect GAAP SG&A to be between $425 million to $445 million from a previous range of $440 million to $460 million. This reduction reflects costs that will be naturally lower due to the current virtual engagement environment. Our guidance continues to reflect the important investments we are making to prepare for our DRP launch, including an expansion of the field team towards the end of the year. We continue to anticipate non-cash stock based compensation expense to be between $90 million and $100 million in 2020. We will end 2020 with a strong balance sheet and expect our year-end cash balance to be approximately $470 million to $500 million, unchanged from our previous guidance. And with that, I'll turn the call back over to Steve.
Steve Davis: Thank you, Elena. Please turn to Slide 26. ACADIA has proven the ability to quickly adjust and excel in the current environment. We have important work ahead of us and are focused on delivering on our commitments to our patients, caregivers and physicians. As I stated earlier, the challenges caused by the pandemic will pass, but the underlying needs of our medicines remain. I have great confidence in our future as we look forward to delivering on a multi-year cadence of pivotal trial readouts and potential approvals. Finally, I'd like to acknowledge and again thank our employees who simplified true leadership and resiliency during these challenging times. I will now open up the call up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Cory Kasimov with JP Morgan. Your line is open. Cory, your line maybe on mute, can hear us?
Cory Kasimov: Can you hear me? Hello.
Operator: Yeah, we can. Please go ahead.
Cory Kasimov: Sorry about that. So wanted to start by asking on CLARITY program and MDD, exciting the data is coming sooner than anticipated now, but wanted to just make sure I get this. I understand the studies are identically designed. But one – if I recall correctly, one's US base and one was outside of the US. So if that is the case, are there nuances to combining these that kind of add incremental risk to readout in terms of underlying baseline characteristics or anything like that? Are you confident in that front? And then the follow up on this is just whether you – I know you're meeting with the FDA this quarter, but do you have any preliminary feedback from the agency that gives you the confidence to publicly announce this new strategy now?
Steve Davis: Yeah, thanks Cory. I'm going to ask Serge to respond to both questions.
Serge Stankovic: Yeah, Cory, we are obviously adding these two studies combining into one study. Based on the variability we have observed in each of the studies in terms of the baseline characteristics, and the overall variability and other differences, we have not seen any indication of an increase or substantial difference between the two CLARITY studies in that respect. So we feel fairly comfortable with that.
Cory Kasimov: Okay and then if the FDA agrees to your proposal this quarter, do you just lock the database at that point and begin the process of scrubbing and analyzing the data?
Serge Stankovic: Yes, we are basically – as we mentioned, we pause the enrollment in the studies, we are seeing the last few patients going through the study. So following positive FDA interaction toward the end of this month, we will be moving forward cleaning the database, locking database and producing the results.
Cory Kasimov: Okay, great. Appreciate you taking the questions. Thank you.
Serge Stankovic: Thanks Cory.
Operator: Thank you. And our next question comes from the line of Neena Bitritto with Citi. Your line is open.
Neena Bitritto: Hey, guys, thanks for taking my question. So I just want to ask about the DRP launch. Just thinking about whether or not there's going to be kind of a resurgence of COVID-19, kind of around the time that you would be launching and dementia patients are of course going to be in that higher risk bucket, I mean, how are you thinking about that? Are you kind of making plans to assume that this is going to be a virtual launch?
Steve Davis: Yeah, thanks first for the question. I'll just start by saying we've done a lot of alternate scenario planning. And I'll let Michael fill in a little bit more on that.
Michael Yang: Yeah. Hey, thanks. Thanks for the question. We have very thoughtful online plans to execute the expansion to support the launch that – number one are tied to the key regulatory milestones, as you've already alluded to, the environment is different than just simply a few months ago. And we're monitoring that environment very carefully. I just want to remind you that this is a significant expansion opportunity for ACADIA and for NUPLAZID. But we already have a very well established team. We have ongoing support in our operations model on the ground supporting PDP, so we can leverage that to build upon and support our launch plans. But again, you've outlined it, this is a fluid situation, we'll continue to kind of monitor the situation as things evolve and we're being prepared for multiple scenario then I think we'll be ready to go no matter what environment we find ourselves into.
Neena Bitritto: Okay, great. And then in terms of just performance in the first quarter, you talked a little bit about specialty versus – specialty pharmacy versus specialty distribution channels. Could you just talk about did you see any impact in one channel more than the other due to COVID-19? And in particular kind of the long term care setting and how you expect that to kind of play out moving forward and as we think about DRP kind of down the road.
Steve Davis: Michael, do you want to take that?
Michael Yang: Yeah, I'll take, sure. We anticipate growth in 2020 in both the specialty pharmacy and specialty distribution channel. As we've said in the past and we saw in the first quarter, often there is quarter by quarter variability and fluctuations between which channel grows versus another one. We would always anticipate, I think, the especially distribution channel to be one third of our franchise business. Obviously, long-term care is an important segment for us and one that has a lot of DRP patients already sitting there and we'll be evaluating the go-to-market principles as it relates to the office setting versus the long-term care setting, but we expect that we'll be able to operate in both settings going forward.
Neena Bitritto: Great, thank you.
Operator: Thank you. And our next question comes from the line of Ritu Baral with Cowen. Your line is open. Ritu, can you hear? If your phone is on mute, please unmute.
Steve Davis: Ritu, are you on mute?
Operator: Please press star one once you get reconnected. Thank you.
Steve Davis: Operator, let's go to the next question. We'll circle back.
Operator: Our next question will be from Alan Carr with Needham & Company. Your line is open.
Unidentified Analyst: Hi, this is Joey on for Alan. Thanks for taking our questions. A few quick ones on NUPLAZID sort of performance, can you comment on overall market share in PDP? Previously you've gained some metrics around that and how the sort of most recent quarter and looking forward affects that market share if at all? And also, maybe I missed this, but the quarter-over-quarter volume growth, could you repeat that and I have a quick question on the DRP launch.
Steve Davis: Yeah, sure, so the sequential volume growth was minus 1% or essentially flat. Michael, you want to take the other question?
Michael Yang: Sure. Yeah. I think for a brand like NUPLAZID and where we sit new to brand is an important focus of our efforts. We're still in the growth and penetration phase of the lifecycle. As I mentioned, our share overall is in the high teens, but we have a higher share in the new to brand dynamic market. And that's based on a PDP market of 130,000 patients.
Unidentified Analyst: Okay, thank you. And just quickly on the potential DRP launch, you mentioned hiring second half of this year, how much of the existing sales force would you be able to leverage towards that? Thank you.
Steve Davis: Michael, do you want to take that?
Michael Yang: Sure. When I talk about force that's not just reaching frequency representatives that also includes our patient support and other capabilities. But in general, we've outlined our plans to go to between 400 to 500 and today we have around 180 to 200 personnel to leverage.
Unidentified Analyst: Great, thanks for taking our questions.
Operator: And our next question comes from a line of Tazeen Ahmad with Bank of America. Your line is open.
Tazeen Ahmad: Hi, good afternoon. Thanks for taking my questions. As it relates to guidance, can you give us a little bit more detail? I know you've made some remarks on your prepared statements, but for the area that you think is most at risk, can you just give us a little bit more color on that? Is it –it's new patient adds from long-term care facilities or is it new patient adds perhaps in general because of those themes from the strategy that you laid out that for continuing patients that really should not be much of an issue at all to stay on drug just given all the changes and just trying to get a better sense of where most of the exposure to COVID is coming from. Thanks.
Steve Davis: Michael, do you want to take that?
Michael Yang: Sure. Yeah. Thanks. Thanks for the question. And as it relates to the guidance, I think the first thing to start with is that Parkinson's disease psychosis is a very serious situation. And it's quite bothersome and disruptive to the family. So therefore, it elevates into a need – it elevates on the ladder of need to treat. So with that being said, that's a good thing. Another good thing is we have a strong base of continued patients that we have continued to demonstrate a high and sustained fulfillment rate, so that's also good with the franchise. We do expect to grow new-to-brand patients both in the SP and the SD channel. But the thing that I was trying to articulate in my prepared remarks is that physician visits and diagnosis are down in general. And so it's really the funnel issue, while we may have a higher share of the types of patients that are seeing overall visits are down. So we're doing very well and engaging with our virtual tactics, but that's what is reflected really, I think, is in the new-to-brand area and B2B the marketplace.
Steve Davis: Elena, you want to just offer additional thoughts on the overall volume growth that we're anticipating in our guidance?
Elena Ridloff: Yeah, so the midpoint of our guidance assumes high teens year-over-year volume growth and just as a reminder, when we see – the impact we've seen to our new patient growth rate in the first part of the year – when you add patients in the beginning of the year, they have a cumulative benefit to the full year. So that's why, when we look at the full year guidance range, we've reflected it – reflected the change in our new guidance.
Tazeen Ahmad: Okay. Thanks Elena. And can you tell us what percent of sales is coming currently from long-term care?
Steve Davis: It's about 25%.
Elena Ridloff: 25%.
Tazeen Ahmad: I'm sorry.
Elena Ridloff: About 25% from long-term care.
Tazeen Ahmad: 25%. Okay, perfect. Thank you.
Operator: Thank you. And our next question comes from the line of Marc Goodman with SVB Leerink. Your line is open.
Marc Goodman: Yes, hi. Can you talk about the M1 PAM that you guys licensed and how is the product differentiated versus some of the others in development? You said the lead asset is in Phase I, what indication is that? Is that schizophrenia or Alzheimer's? And then just back on NUPLAZID, can you talk about just what April has looked like so far relative to March, relative to February, relative to maybe what you were expecting just so we get a sense of what's happened so far? Thanks.
Steve Davis: Yeah, we'll take those one at a time. Let me offer a couple of thoughts on the PAM program first and I'll ask Michael to respond to the second question. So we really like this program. I'm sure many of you are aware, there's a lot of literature describing the potential of muscarinic modulators both with the M1 and M4 subtypes and a lot – the literature mostly supportive of potential utility in schizophrenia and cognition and dementia. The challenge in this area has always been how to control the – or mitigate the unwanted cholinergic side effects. So there's some approaches that have been shown very intrigued promise by trying to – when you can block some of those side effects, you can really – what's been observed is very strong advocacy signal. The first advantage of staking and that we are collaborating with the bond is by modulating the M1 receptor subtype through a positive allosteric modulators. And we believe this PAM approach is designed to achieve a similar level of efficacy, potentially without the side effects due to high selectivity of these PAMs. So we're very excited about the approach. We like the program a lot and eager to get it incorporated and get going. Michael, you want to take the other question?
Michael Yang: Sure. Thanks for the question. I think that – maybe there's a chance to brag a little bit, I'm really proud of the commercial team for what they've been able to do quickly pivoting in a time of crisis, whereby we were able to do a lot of things that optimized the commercial approach. I mentioned the ability to diagnose, treat and get patients on therapy remotely. We've had product theatres that are very well attended. Our existing sales force leveraging their relationships have had what I would call a surprisingly good take in their effectiveness to reach customers and engage in meaningful conversations. And obviously, the first part of the state shelter-in-place, I think was a pretty devastating thing for the country in the marketplace in general, but as physicians have come to get their feet under the ground, I've been impressed with their response to telemedicine medicine. As I mentioned earlier, the PDP situation is one of serious need and therefore we have credible conversations and reasons to engage with customers. So I think April's is certainly seen better days than the latter parts of the March when the pandemic was first raging and shelter-in-place was kind of a new thing. So employees are really engaged. The customers are really responding. And I think qualitatively, I would say that we've reached a pretty good space to operate from in April.
Marc Goodman: And just to confirm –
Steve Davis: I'll just – I'm sorry. I'll just echo Michael's comments. I think I've been very, very pleased and proud of the work that his team has done in very quickly adapting to this very unusual and very different environment. I think what we've seen is, as Michael mentioned, while in person visits are down, as you can see from our guidance and from the results that we've published, it has not had nearly a significant impact on our revenues and our projected revenues and all of the early indicators that we look at. So the business continues to be very strong. And I think the quick pivot that we've done, the work that Michael's team has done is reflected in the fact that that we're revised guidance down by only 5%. I think we feel pretty good about where we stand, of course, we have to – we all recognize it's a fairly fluid situation, but I think our team's done a great job of working virtually.
Marc Goodman: And does the 90 million in the first quarter include any buy in because of COVID like we've seen in other companies or is this pretty much demand driven?
Steve Davis: No, it's demand driven – inventory levels during the quarter.
Marc Goodman: Thanks.
Operator: Thank you. And our next question comes from the line of Charles Duncan with Cantor Fitzgerald. Your line is open.
Charles Duncan: Thanks guys, Steven and team for taking my questions. Congrats on a good quarter. I wanted to ask one commercial question and then probably two relatively simple pipeline questions. So the commercial question for you is I know there's been a fair amount of discussion about the components of guidance and appreciate Elena's input there. But I'm specifically wondering about the dynamics in the long-term care facility setting. I know there's been some discussion about that setting being hit hard by COVID-19. And I guess I'm wondering if you're seeing continued persistence and/or I guess improved or continued compliance in that setting in particular and what your assumptions are in the second half of the year with regard to the COVID-19, perhaps second wave.
Steve Davis: Michael, do you want to take that?
Michael Yang: Yeah. Thanks, Charles. Thanks for the question and our hearts go out to the patients in the long-term care setting, which is setting the scene a little bit more of an impact on the COVID. We expect to continue to see the similar dynamics in our ability to kind of operate as I said, on the SP any SD side. Recall that we have already a well-established franchise, the product flow goes through there and continuing patients has shown no – we don't see a general impact on the continuing patience. As I mentioned earlier for both SP and SD the ability to get new patients that's kind of where the – the focus is on the guidance and we're speculating in that guidance, some reduction and the ability to get new patient starts in both SP and SD, but that's a fluid situation, and we're continuing to monitor that. And we'll continue to evolve our promotional and operational mix to that category when we see it. It could be that we get back to state-to-state and market-to-market opportunities and it's going to be an evolution of how we get back into that market.
Charles Duncan: That makes sense to me. However, we – I'm sorry, go ahead.
Steve Davis: I'm sorry Charles. Just to be clear, the low end of the guidance assumes that new patient starts stay where they are what we've observed so far and we don't anticipate that to be the case, the high end of our guidance assumes that we're able to get back into physicians' offices in the third quarter and we'll see more growth on new patient starts. So I think the guidance again, is very well founded in what we're seeing today, recognizing again, it's a fluid situation.
Charles Duncan: Okay, very good. That's helpful, Steve. And then perhaps if I could ask a couple of pipeline questions, one is related to DRP. Pretty clear guidance that you'll be filing an sNDA soon. I know that summer starts here in a matter of weeks. But I'm wondering if Serge you could provide us any additional color on kind of rate limiting steps or additional work that needs to be done to file the DRP sNDA? And then on the MDD program, like that, think it's creative, interesting, but I'm wondering if you could give us some color around the impact on powering if there's any penalties that you think from a statistical perspective you would take in combining those two steps.
Serge Stankovic: Yes, thanks, Charles. On the first question, really, we are, as you can imagine, well advanced in the preparation of our supplemental NDA. Our discussions with FDA did not bring any significant or meaningful changes to that strategy. So we are continuing with finalization of the documents that are components of the supplemental NDA. And we are, as I mentioned earlier, completely on track for that submission in the summer. And we with a six months priority review we are expecting that action date will be in toward the end of the year. Related to the second question in terms of the potential statistical impact or penalties for combining the study, all of this is done and will be done with the alignment with the FDA. And prospectively prior to any database lock or anything on that it is as a part of our discussion, we are proposing statistical analysis plan and this is something that precedence already exists for this. And it has been done and we anticipate that FDA will be open for such a solution. I do want to say is that starting – in general, even the regulators and most of the sponsors are recognizing that there are certain risks involved in the starting and – stopping and starting the enrollment where a portion of patients will be assessed and enrolled pre-COVID and a portion of patient post COVID. So that solution also brings certain risks and our assessment is that the proposal that we have offer opportunity for us to still maintain our two shots on the goal strategy by already planning through in case of negative outcome, start the second study, but also offer opportunity we feel very comfortable with proposed statistical plans and analysis.
Charles Duncan: It's helpful. If I could sneak one more in with regard to the Vanderbilt deal that you did, congrats on that. I'm wondering if the current compound that's in Phase I testing. It's from an academic and not to say anything, but would you see that as a pharmaceutically optimized compound or really a tool candidate to test hypothesis with regard to the strategy to get to selectivity?
Steve Davis: It's a great question Charles. It's something that we've spent a lot of time and our diligence on. Vanderbilt's done something that is a little different than what you typically see with academic institutions. They've really dedicated a lot of resources to building the same kind of capabilities in an independent lab structure they set up under Jeff Conn to do the same kinds of things and the same types of capabilities in house, as you would have at a pharmaceutical company or a well-positioned biotech company. And so that was one of the real advantages we saw to partnering with them is, not only are they – if they gone through the same paces that we and others would go through, but they have the capability to continue doing that with other compounds. And by the way, Jeff Conn who leads this effort at Vanderbilt spent a lot of time in industry and they built a really substantial platform there. So we're very excited about the mechanism, the program, the potential, but also the capabilities basically set for our capabilities.
Charles Duncan: Very good, thanks for the added color, Steve and team.
Operator: Thank you. Our next question comes from the line of Gregory Renza with RBC Capital Markets. Your line is open.
Gregory Renza: Hey guys, thanks for taking my question. Congrats on all the progress and also thank you for all the color this afternoon and today really appreciate it. Steve, I just wanted to ask a bit certainly more on COVID. And as you discuss really setting the company and the portfolio up for the longer term, just curious, you've discussed in getting through some of the COVID-19 pressures now. But I'm just curious, your thoughts on maybe more of the lingering negative effects that the pandemic could have on the market, certainly setting up for a very important launch, but then also, with respect to the patient populations, the toll perhaps on mental health? Is there any read through to that market really being one that would be growing and lend itself to the assets of ACADIA and certainly secondarily and perhaps connected to the CLARITY changes any additional FDA or further amenability for them to be more flexible with helping to get products like [indiscernible] through to these patient populations? Thank you very much.
Steve Davis: Yeah, thanks for the question. I'll start and then Michael or Serge, if you guys have additional commentary, please jump in. But look, this is obviously a really tragic situation that we're experiencing globally. The impact that we're seeing with COVID-19 is short-term. As we mentioned, it's not going to change the fact that symptoms with Parkinson's, dementia, depression, schizophrenia and Rett syndrome, they continue to suffer symptoms despite the pandemic. I think in terms of longer term impact, I think it will underscore the utility of drugs that help treat these symptoms. I do think we'll see some exacerbation of depression and anxiety induced depression. I think we'll see some – again, further impact on the concussionations and delusions of Parkinson's and dementia patients suffer. And in some respects the ability to actually treat those symptoms and possibly keep patients out of the nursing home longer or in a nursing home setting and to be able to treat those symptoms to make those patients have a higher quality of life can be easier to manage, et cetera, will be things that will be at an even higher value than they were than the very high value that we have today. So I think as we think about the potential rippling effects, I guess I'd say, I think they will just underscore the utility of treating the diseases that we're pursuing and perhaps equally importantly, treating them with an agent that so far has shown very robust efficacy and a very, very vulnerable safety and tolerability profile. So I think it will just simply underscore the value of the advisor in all the indicators that we're presenting. Michael or Serge, you got anything else to offer?
Michael Yang: Yeah, Steve, I would offer a couple more things. I think that one of the things that mental health has attached to it is, number one a stigma and number two an awareness and a lot of our medical and consumer education is awareness. And obviously folks being together in a longer period of time exposes that information or that situation and that can make that a lot more front and center as a problem to solve. Second, I would say that I think that we're fortunate in that psychiatry and neurology are some of the two highest users of telemedicine and I think the telemedicine trend that has been established out of necessity in this COVID environment, I think is going to continue long after this and I think that telemedicine is going to be here to stay. Companies that are optimized for that kind of environment and our product and company is – are going to continue to serve I think the physician customers extremely well. And then the third and I just want to anchor this to Steve's comment that a product like NUPLAZID whose overall positioning across the sequence of indications is improvement without impairment. In the case of PDP that was a non-improvement of psychosis without impacting motor. In the case of dementia it's potentially the impact on cognition, say on falls and other safety benefits that you don't see with the dopaminergic side effects. And then, of course, with depression and others, we have benefits that we've shown in our studies, if they were to be part of the claims in terms of sexual dysfunction, weight gain metabolic, so the list goes on. So a product like NUPLAZID in the future environment of the things I just discussed and Steve anchored on, I think are – it's a really potentially good situation in that regard.
Serge Stankovic: Yeah, and I'll just add that likewise on the R&D side, we have been able to really quickly and efficiently moved over the remote assessments and the ability to properly monitor safety of the patients through – in a remote manner. I want to thank the regulators who reacted really fast in providing the guidance for sponsors, how to do this. And with the application of all of this, now, we have actually essentially systems in place to operate, whatever circumstances come up. Of course, with pandemic you never know if things may get to some catastrophic level, but in the circumstances as it is, we can really run both models, both on site visits or remote visits and we're ready for any circumstance.
Steve Davis: Great, operator, I think we have time to get back to Ritu Baral from Cowen and then we can take a couple more questions after that.
Operator: Alright. Ritu Baral from Cowen. Your line is open.
Ritu Baral: Hey guys, thanks for fitting me back in, really sorry about that. My question is for Serge. I know somebody asked a little bit of this previously, but like, how should we think about the activity of your M1 PAM from Vanderbilt? And specifically how do we think about that allosteric modulation and what sets it apart activity wise from like xanomeline and how are – like, is it possible to separate the anti-muscarinic side effects from the antipsychotic effects that xanomeline has shown? Can you walk us through that?
Serge Stankovic: Well, Steve, do you want me to address this?
Steve Davis: Yeah, please go ahead.
Serge Stankovic: Yeah. One of the really distinguishing feature of the compounds that we – in license is its high level of selectivity, which really would impact the entire side effect profile. In terms of the efficacy it shouldn't be any distinguishing difference, but with the muscarinic receptors and agonists, what happens often is that they their selectivity is not exactly what is proclaim or what's predominant selectivity and that often impacts the peripheral side effect profiles particularly. So what we are impressed with the Vanderbilt compounds is that it's high selectivity and their technology for producing the positive allosteric modulator with high precision. So we are really impressed with that and anticipate that we will ultimately see the efficacy that is observed already with M1 – with muscarinic agonist, but with the side effect profiles and some initial data that we have also are indicating in that direction.
Steve Davis: Yeah, I would just echo the last Serge mentioned, I mean, in these early stage programs you always have a biochemical hypothesis. You do testing in vitro and then in vivo, then you ultimately get in the clinic and continue hypothesis in humans. And all the data that we've seen so far is supportive of the theory that we have that – to this positive allosteric modulation that M1 – may be able to avoid the cholinesterase side effect. So again, it's an early stage program. It has the risk reward profile of an early stage program, but we're very excited about it.
Ritu Baral: And what is the fastest path to get into the clinic.
Steve Davis: We have – so the lead compound is in Phase I now, it's in the early Phase I and I think as we progress further, we'll give more updates on it. But another thing we liked about the program is the fact that when – with the small molecule early stage programs you always want to have multiple shots on goal and we've got other compounds that are progressing rapidly as well. So we feel good about the portfolio approach that Vanderbilt's taking.
Ritu Baral: And last question, I apologize if this is a repeat, but in your conversations with FDA about your DRP sNDA, has the topic of the AdCom come up, now, that AdComs are definitely virtual for the foreseeable future.
Steve Davis: Serge, do you want to take that?
Serge Stankovic: Yes. We continue to expect that there is a high likelihood that we will have advisory committee and we are preparing for the advisory committee. That topic did not come up yet because it's not time for that. That's not something that generally is customarily discussed either the – at any of the meetings or of the pre-sNDA meeting. We expect that we will be – once we file and file is accepted that we will at that point, hear what their thoughts on that. I do want to remind everybody that it is not typical for supplemental NDA to have advisory committee, but because this is the first approval of anti-psychotic in this indication that we anticipate there is a likelihood that we will have and we are behaving in that way.
Ritu Baral: Great, thank you for taking me back into the queue.
Operator: And our next question comes from line of Salveen Richter with Goldman Sachs. Your line is open.
Salveen Richter: Thanks, good afternoon. With regard to the CLARITY trials, could you just comment on the risk in terms of differences previously seen with placebo response or other factors in the context of US and ex US patients or US and US ex US sites? And then just to clarify in the muscarinic receptors that the rationale is behind targeting M1 and not both M1 and M4.
Steve Davis: Serge, do you want to take that?
Serge Stankovic: Yes. In regard to CLARITY, first of all, let me just say that in terms of the placebo response in the depression trial, the differences that we were seeing – we generally see in schizophrenia are not replicated in the depression trial. The regional organization of the studies is more related to the potential control of the overall variability. And as I mentioned, the data we have and what we observed so far, does not indicate that there is a significant concern in terms of the differential variability that we are observing in these two studies. So from that perspective, we are reassured that the risks are not of a concerning nature in that regard. And obviously combining the studies you are combining the number of clinical sites, but as with the observed variabilities between two studies, we feel fairly comfortable in that respect. On the M1 versus M4, it's a significant debate. What actually cognitive slash neuropsychiatric symptoms are better addressed or more efficiently address with the agonism at M1 versus M4. There is kind of a school of thought that M1 is more on a cognitive side and M4 is more on the acute psychotic symptom side, but there is no – actually looking, looking historically through the studies, I think that there are arguments to be made that both cognitive symptoms and more broader neuropsychiatric symptoms in schizophrenia, which would include both negative symptoms and positive symptoms would be and can be addressed with M1. I will simply say that what we intend to do in developing these molecules is to simply listen to clinical observations and adjust our development programs as we are moving through the stages of development so that we pursue the most appropriate indications with this, but we are open minded in that respect at this point.
Salveen Richter: Great, thank you.
Steve Davis: Operator, I think we have time for one more question.
Operator: Yes, sir. And our next question is from the line of Chris Howerton with Jefferies. Your line is open.
Chris Howerton: Great, thank you so much for taking the question. I'll try and make this quick. So Steve, we've had some initial discussions about growing the company through BD. And I just wanted to understand what the scope of the deals you're thinking about in the future, just given the president of these two relatively small deals that we've seen so far. So thanks.
Steve Davis: Yeah, thanks for the question. As we've previously indicated, growing the company transactionally is a key pillar of our business plan. You'll see more transactions for us as we go forward. I think the two deals that we've done so far are good examples. I would characterize the kinds of deals we are doing, but I wouldn't – you shouldn't limit the scope or assume that our scope is limited to just those kinds of deals or those size of deals. Of course as I mentioned, trofinetide is a good example of a later stage opportunity that we are very excited about. Those kind of deals we've been discussing as an earlier stage opportunity. We have presence both in neurology and psychiatry. We've built a very, I would characterize as a very, very formidable R&D engine. I think the results that you guys seem to produce support that and I think we've built a very, very substantial presence commercially. So we've got capabilities that we can leverage and we will continue to do that.
Chris Howerton: Alright, very good, thanks for taking my question.
Operator: Thank you. And I'm not showing any more questions at the time.
Steve Davis: Great, thanks operator. Look, I know we've run a little bit long here. Just want to say thanks to all of you for joining us today. We appreciate it. Look forward to updating you on our progress next quarter.
Operator: Ladies and gentlemen, this does conclude the program. You may now disconnect. Everyone have a great day.